Operator: Good day, everyone, and welcome to Crane's Second Quarter 2016 Earnings Conference Call. Today's call is being recorded. At this time, I'd like to turn the call over to the Director of Investor Relations, Mr. Jason Feldman. Please go ahead, sir.
Jason D. Feldman - Director-Investor Relations: Thanks you, operator, and good morning, everyone. Welcome to our second quarter 2016 earnings release conference call. I'm Jason Feldman, Director of Investor Relations. On our call this morning, we have Max Mitchell, our President and Chief Executive Officer; and Rich Maue, our Chief Financial Officer. We'll start off our call with a few prepared remarks, after which we will respond to questions. Just a reminder the comments we make on this call may include some forward-looking statements. We refer you to the cautionary language at the bottom of our earnings release and also in our Annual Report, 10-K, and subsequent filings pertaining to forward-looking statements. Also during the call, we'll be using some non-GAAP numbers, which are reconciled to the comparable GAAP numbers in tables at the end of our press release and accompanying slide presentation, both of which are available on our website at www.craneco.com in the Investor Relations section. Now, let me turn the call over to Max.
Max H. Mitchell - President, Chief Executive Officer & Director: Thank you, Jason. As outlined in our press release last night, I'm pleased to report that Crane's second quarter EPS, excluding special items, was a solid $1.21, up 14% compared to adjusted earnings in the second quarter of last year. Sales of $712 million were approximately flat, with 1% of core growth, offset by unfavorable foreign exchange. Operating margins, excluding special items, improved 120 basis points from last year to 15.1%, primarily as a result of Crane Business System-driven efficiencies, productivity, and restructuring and integration savings, along with modestly higher volumes. We did realize $0.06 of EPS benefit solely related to the closure of a tax audit. However, on an operational basis, the second quarter was better than we expected across each of our businesses. While I'm proud of our results in the quarter and have confidence in the full-year outlook, we do expect to face some incremental headwinds in the second half. Overall, our end-market views have not changed materially over the last few months. Our Fluid Handling end-markets have stabilized, but remain depressed and we do expect continued uncertainty and potential volatility. While we don't give quarterly guidance, to help set expectations, I would add that we expect the third quarter to be modestly softer than the second quarter, operationally, after adjusting for the low second quarter tax rate. This should be followed by a fourth quarter that operationally looks similar to our first quarter of this year. In the fourth quarter, please remember that Engineered Materials and Merchandising are almost always seasonally weaker towards the end of the year. Further, the timing of shipments into our process valve backlog was skewed to the second quarter. And the mix has been particularly favorable at Payment & Merchandising in the first half. While year-over-year comparisons are easier for growth in the second half, we expect margins to moderate somewhat. Lastly, we do now expect corporate cost to be modestly higher than our original guidance. Balancing these factors, we are narrowing and raising midpoint of our guidance range, and we now expect EPS, excluding special items, of $4 to $4.20, compared to our prior range of $3.85 to $4.15. This updated view reflects earnings approximately flat compared to last year, with free cash flow up slightly to approximately – to up approximately 16% compared to 2015. Turning to our businesses, at Fluid Handling, the story is unchanged. To refresh, activity dropped off toward the end of 2015 and our guidance set for 2016 was consistent with our fourth quarter run rate. Market conditions continue to appear relatively stable at the press levels and order rates have stabilized. We actually saw a modest improvement in our orders compared to the first quarter after adjusting for foreign exchange. We continue to believe that 2016 is the trough for Fluid Handling end markets, consistent with our commentary earlier this year. We are seeing a few isolated bright spots, such as slightly better chemical MRO activity in Europe and a pickup in early-stage planning for additional U.S. chemical projects expected to hit in 2018 and 2019. However, while our customers are still tightly controlling CapEx, we still believe that 2016 is the trough for our Fluid Handling end markets. We're seeing project push-outs across our vertical markets and geographies continue with the same pace to that seen in recent quarters. From a pricing perspective, we're actually seeing some competitors return to disciplined pricing practices after what appears to be poor prior decisions and working through some miss-priced projects, while some other competitors have now become increasingly aggressive on pricing for certain project. However, our pricing strategy remains disciplined, demonstrated in part by our solid margin performance in the quarter. We believe strongly in our value proposition, and while sensitive to market conditions, are selectively walking away from projects where pricing is utterly ridiculous. Overall, while soft conditions persist, we believe we are on track to achieve our full-year guidance for this segment, and the margin performance this quarter is a testament to the Fluid Handling leadership, which is executed extremely well through a very tough period. At Payment & Merchandising Technologies, we had another strong quarter with 4% core growth despite tough year-over-year comparisons. Operating margins increased 290 basis points compared to adjusted margins last year. We remain on track to realize $33 million of MEI-related synergy savings by the end of this year, and we remain optimistic about the prospects for growth of both sales and margins in this segment this year and well into the future. However, while we may modestly exceed our margin guidance for the full year, please remember that this business has uneven project timing and the product mix can vary from quarter to quarter. Our investment in this business continues. As we have discussed in past Investor Days, this business is as research and engineering intensive as Aerospace, and we spend in excess of 7% of sales on R&D. Our product development pipeline is robust and we remain the industry leader in the Payment & Merchandising markets. At Aerospace & Electronics, we had a strong organic growth of 13%, driven largely by the Space Fence program. Margins rose 100 basis points compared to adjusted margins last year, with strong productivity and volumes offsetting unfavorable product mix and higher engineering expense. Performance was solid across Aerospace & Electronics. Additionally, the Microwave and Power teams deserve a lot of credit for their work and execution on the Space Fence program. This is the largest project in the Microwave business's history and it is on schedule and on budget. I was at the Farnborough Airshow earlier this month, and while we continue to hear questions about the length and strength of this cycle, we continue to believe that the enormous industry backlogs are supportive of continued industry growth, even if select cancellations were to take place. I remain excited about the ramp-up of a number of new platforms where we have substantial content. We continue to invest heavily across all of our aerospace solutions. We're still bidding on new opportunities and believe that we are well positioned for years of strong growth with a highly-attractive margin profile. Engineered Materials sales fell by a modest 2% in the quarter, as lower RV and Transportation sales were partially offset by strength in Building Products. Margins expanded to 21%, up 250 basis points, driven by our efficiency efforts, lower material cost and solid execution. Overall, it was a strong quarter across our portfolio. Based on what we know today, we're confident in our revised guidance. That confidence is tempered only by continued volatility in commodity and foreign currency markets, along with uncertainty related to the future of the European Union's direction and other geopolitical issues. All of which we feel we are positioned to address and react to, as required. Rich, let me turn it over to you for some additional financial commentary.
Richard A. Maue - Vice President, Finance and Chief Financial Officer: Thank you, Max. I'll turn now to segment comments, which compare the second quarter of 2016 to 2015, excluding special items, as outlined in our press release, slide presentation and the accompanying non-GAAP tables. In the second quarter, Fluid Handling sales of $266 million declined 9%, reflecting a core sales decline of 7% and a 2% impact from unfavorable foreign exchange. This is in line with our expectations and consistent with our guidance. Fluid Handling operating profit declined 6% to $35 million. Operating margins were 13.3%, up 40 basis points compared to last year, reflecting productivity and restructuring savings, partially offset by competitive pricing and lower volumes. And we expect margins in the second half similar to the full first-half margin rate. Fluid Handling backlog was $246 million at the end of June compared to $267 million at the end of 2015 and $287 million at the end of June of last year. After adjusting for foreign exchange, the backlog declined 11% compared to the prior year and declined 5% sequentially. Adjusting for foreign exchange, however, orders improved 4% sequentially. Moving now to Payment & Merchandising Technologies, sales of $193 million increased 3% compared to last year. Core sales improved 4% with a 1% impact from unfavorable foreign exchange. We saw core growth across both our Payment and Merchandising businesses, with payment in line with our expectations, and Merchandising stronger than we expected. Segment operating profit of $34 million increased 23% from last year, with operating margins up 290 basis points to 17.9%. The margin improvement was driven by higher volumes, along with MEI integration synergies, productivity benefits and favorable mix at both the Payment and Merchandising businesses. Aerospace & Electronics sales increased 13% to $189 million. Segment operating margins improved to 20.4%, up 100 basis points from last year. The margin improvement reflects higher volumes and productivity, partially offset by higher engineering spending and unfavorable product mix. Total aftermarket sales increased 9% with solid results across both the commercial and military aftermarket. OE sales increased approximately 15%, led by strong military sales, although commercial OE sales also increased in the mid-single-digit range. The OE-to-aftermarket mix was 75% to 25% compared to 76% to 24% last quarter, and 74% to 26% in the second quarter of last year. Aerospace & Electronics backlog was $436 million at the end of June compared to $436 million at the end of 2015 and $448 million at the end of June 2015. The lower backlog year-over-year reflects deliveries on the Space Fence program. And after these deliveries, we are pleased with the $17 million sequential growth in the backlog, which is in line with our expectations. Engineered Materials sales declined 2% to $64 million. Operating margins increased 250 basis points to 21%. Both productivity and lower material costs more than offset competitive pricing pressure. Turning now to more detail on our total company results and guidance, our second quarter tax rate was 27% compared to 31.5% in the second quarter of 2015, primarily as a result of favorable adjustments following the resolution of a routine audit. A lower tax rate was partially offset by corporate expense that rose by $3 million compared to last year, primarily as a result of higher legal expense, higher benefit costs and compensation-related expenses. On a full-year basis, we now expect corporate expense to be approximately $54 million, up from our original forecast of $50 million. At expected levels, our corporate expense run rate remains near best-in-class at below 2% of sales. Our full-year tax rate is now expected to be 30%, down from original guidance of 31.6%. Regarding foreign exchange, the negative translation impact in the quarter was somewhat smaller than we expected at approximately $6 million or just under a 1% headwind to sales. Compared to assumptions in our guidance, we saw greater-than-anticipated headwinds from the depreciation of the British pound, more than offset by smaller-than-expected impacts from the Canadian dollar, the euro and the Japanese yen. We have received questions recently about our UK footprint in light of the recent Brexit vote and related foreign exchange movements. The UK is a relatively important manufacturing location for us with approximately half of UK manufactured product consumed locally and the rest exported. Of the UK exports, a modest portion ends up in the EU. There has been no direct impact on our business following the UK vote to leave the EU, aside from the obvious exchange rate movements. Our biggest concern is the impact of the recent decision on the UK economy and the decision-making process of local businesses. At this time, we don't expect any material impact in 2016, but we're monitoring the situation closely. In the quarter, free cash flow was $54 million, up from $48 million in the same quarter last year. We ended the quarter with $109 million of lower net debt than at the end of June of last year. As Max mentioned, we are narrowing and raising our 2016 EPS guidance to $4 to $4.20, excluding special items, compared to prior guidance of $3.85 to $4.15. Our guidance continues to assume total 2016 sales of approximately $2.7 billion, down 2% compared to 2015. This sales outlook includes an approximate 2% negative impact from foreign exchange and core growth down 1.5% to up 1.5%. We are also raising the low end of our free cash flow guidance by $5 million to a range of $195 million to $220 million. Operator, we are now ready to take questions.
Operator: Thank you. And our first question comes from the line of Chase Jacobson with William Blair. Your line is now open.
Chase A. Jacobson - William Blair & Co. LLC: Hi. Good morning. Nice quarter.
Max H. Mitchell - President, Chief Executive Officer & Director: Good morning, Chase.
Chase A. Jacobson - William Blair & Co. LLC: I guess, Max, I appreciate all the color you gave. You guys always give a lot of transparency into your results. I was hoping you can maybe just expand on the pricing commentary in Fluid Handling. It sounds like it's pretty mixed, but could you kind of maybe...
Max H. Mitchell - President, Chief Executive Officer & Director: Yeah. Yeah. Sure.
Chase A. Jacobson - William Blair & Co. LLC: ...break that down by some of your – yeah, some of your product areas?
Max H. Mitchell - President, Chief Executive Officer & Director: I think it's a comment of – it's the same, but rather than just say the same, we add a little bit of color to say, hey, in some cases, we see some competitors that were doing what we would consider some aggressive pricing improve, and then we see some other that are taking some what appear to be crazy actions. So net-net, we're staying disciplined. We feel good about the backlog. We feel good about our pricing discipline. Net-net, it feels the same. It's not worsening. It's not improving. But there is a mix, regionally, geographically, by competitors that we see and we just thought it was worth noting.
Richard A. Maue - Vice President, Finance and Chief Financial Officer: Chase, the same – I would just add, the same would go with how we've characterized projects versus MRO from a pricing point of view as well. Right? More pressure from a project point of view in terms of Max's commentary. But on MRO, we're continuing see stable pricing actions and disciplines.
Chase A. Jacobson - William Blair & Co. LLC: Okay. And similar question in commercial aerospace, as it relates to the OEs stretching payment terms. Are you seeing that? And what are you doing on Crane's side to mitigate the working capital impact of the OE stretching out payment terms? And any color on what drove the awards in an Aerospace, because those were really strong this quarter?
Richard A. Maue - Vice President, Finance and Chief Financial Officer: So, I guess, I'll start with the latter, Chase. So from an overall perspective, order lumpiness does happen within the Aerospace business and Electronics business. What I would say is I made the comment that I was pleased with respect to the sequential order improvement from Q1 to Q2. But from a year-to-date – on a year-to-data basis, we feel pretty much comfortable with where we stand and in line with what our initial guidance was. A little bit stronger, but nothing overly significant. As it relates to payment practices and OEMs pushing in that regard, it's really no change in terms of our approach to ongoing dialog with all of our customers. We don't see anything at this point that would be impactful to the year. But it's an ongoing dialog and discussion, and at this point, from a working capital perspective, we feel comfortable with our targets and our free cash guidance.
Chase A. Jacobson - William Blair & Co. LLC: All right. I will hop back in queue. Thank you.
Max H. Mitchell - President, Chief Executive Officer & Director: Thanks, Chase.
Operator: Thank you. And our next question comes from the line of Matt Summerville with Alembic Global Advisors. Your line is now open.
Matt J. Summerville - Alembic Global Advisors LLC: Thanks. Good morning.
Max H. Mitchell - President, Chief Executive Officer & Director: Hi. Welcome back.
Matt J. Summerville - Alembic Global Advisors LLC: Hey. Thank you very much. With respect to Aerospace & Electronics, I want to get comfortable, you talked about kind of having this longer-term sustainable organic growth trajectory there. And while I know you don't disclose content per platform necessarily per se, but if you were to go through an exercise where you index, if you will, previous-generation aircraft at 100, and you say, okay, now we're looking at these next-gen aircraft going forward. Does that looks like 105, 110? You know what I'm saying. I'm just trying to get an understanding where your relative content is next gen versus kind of legacy aircraft, if you will.
Max H. Mitchell - President, Chief Executive Officer & Director: Yeah. We haven't disclosed that quite that way in the past, it's always been asked in the past. I think we have disclosed in the past that certainly with some of the major programs that we're working on right now is 737 MAX, the E2, COMAC C919, all progressing very, very well. The content that we've won from a fluid lube and scavenge standpoint, fuel flow transmitter, all the things we've talked about in terms of the opportunities that we've won from a content standpoint. We've commented that the 919 has the highest content for any single-aisle program. So just on a relative basis, we've indicated that, not on a scale of 100 versus a range, but just in terms of our current single-aisle content, COMAC 919 has more content than any current program, all indicating just directionally how we feel about of the programs that we've won and the demand profile as we move forward.
Richard A. Maue - Vice President, Finance and Chief Financial Officer: Yeah. Just Matt, just to add to that, and I think it came through in Max's comments, but it's important from a content perspective in relation to programs rolling off and new programs, we feel good that a significant component of the growth rate that we're projecting actually incorporates incremental content versus what we perhaps might have had on other programs. So it's not just market-driven, I think, is the point.
Matt J. Summerville - Alembic Global Advisors LLC: Got it. And then just as a follow-up, with respect to Fluid Handling backlog, are you getting a sense that that's bottoming now for Crane? Do you think the second quarter is the bottom? You saw a sequential uptick in orders per your prepared remarks. Or have we yet to kind of see that bottom out? What's your view there?
Richard A. Maue - Vice President, Finance and Chief Financial Officer: So Matt, with respect to the backlog in the second quarter, so we saw some meaningful – we saw some nice strong execution in the business as Max mentioned. So we did execute quite a bit, a little bit more than we expected, in terms of shipments that did take that backlog down in the second quarter. I think what's important is that we did see the sequential improvement in orders from Q1 to Q2 and again off that run rate in Q4, all really happening according to plan and to the guidance that we provided. So as I look at where backlog is today, into the third quarter, I would say, it's largely as expected and consistent with the guidance that we provided at the beginning of the year. There's going to be movements a little bit from quarter to quarter, depending on how we execute on that backlog, but consistent overall with what our expectations are.
Matt J. Summerville - Alembic Global Advisors LLC: Great. Thank you, guys.
Max H. Mitchell - President, Chief Executive Officer & Director: Thank you.
Richard A. Maue - Vice President, Finance and Chief Financial Officer: You're welcome.
Operator: Thank you. And our next question comes from the line of Nathan Jones of Stifel. Your line is now open.
Nathan Jones - Stifel, Nicolaus & Co., Inc.: Good morning, Max, Rich, Jason.
Max H. Mitchell - President, Chief Executive Officer & Director: How are you?
Richard A. Maue - Vice President, Finance and Chief Financial Officer: Good morning.
Nathan Jones - Stifel, Nicolaus & Co., Inc.: Just want to follow-up a little bit on Chase's question on pricing on valves. You said that kind of short-cycle stuff is maybe a little better, projects is maybe a little worse. Is there anything end-market specific that's going on there in pricing or is it really just a matter of the bigger the order, the more aggressive people are getting on pricing?
Max H. Mitchell - President, Chief Executive Officer & Director: Well, some of it's related to end-market and the solution. So what do I mean by that is depending on the competitor, you might have a specific competitor that is stronger in power that all of a sudden begins to become very, very aggressive on some power projects versus another competitor that is strengthening in chemicals, for example. So, it tends to fluctuate a little bit, which is normal. But I wouldn't say that there is any dramatic trend in one market versus another.
Nathan Jones - Stifel, Nicolaus & Co., Inc.: Okay. And then, is the pricing that you're putting into backlog now in Fluid Handling any better or any worse than the pricing that's currently in backlog?
Max H. Mitchell - President, Chief Executive Officer & Director: No. We kind of view it the same.
Nathan Jones - Stifel, Nicolaus & Co., Inc.: Okay. Then on Payment & Merchandising, you did 17.9% margin there. I think you said – I think maybe Rich said, Payment was in line with your expectations, Merchandising was better than expected, which would be negative for mix. And then, I think Rich also said it was – that you had a negative mix in both pieces of those businesses, if I heard it correctly. So you've got...
Max H. Mitchell - President, Chief Executive Officer & Director: No, I think I'm going to correct you on that a little bit.
Richard A. Maue - Vice President, Finance and Chief Financial Officer: Yeah.
Max H. Mitchell - President, Chief Executive Officer & Director: Let's take it one at a time.
Richard A. Maue - Vice President, Finance and Chief Financial Officer: Go ahead and finish your question, Nathan.
Nathan Jones - Stifel, Nicolaus & Co., Inc.: Well, I was going to say that it sounds like you've got a negative mix in that business, even if Merchandising was in line and Payment was better than expected, that's negative for mix overall, and you did 17.9%. The guidance for the full year, I think, is 17%. Can you just talk a little bit about why you're not getting a little bit more bullish than that? And if something's changed here structurally that might change your longer-term outlook for the margin structure of that business?
Richard A. Maue - Vice President, Finance and Chief Financial Officer: Yeah. No, it's a good question. Just to clarify some of the statements. Overall, just to start, our overall margin target for the year, for Payment overall – Payment & Merchandising Technologies was 16.6%. So I appreciate you rounding up to 17%. But with respect to some other comments, my commentary relative to performance in the quarter for Payment & Merchandising was that we actually saw favorable mix overall. Now, you're pointing to business mix and that if vending was stronger from a revenue perspective versus the CPI business, yeah, that from a business unit mix has a bit of an unfavorable impact. However, within those specific businesses in both, in both our Merchandising business as well as in our Payment business, we saw some favorable mix of product sales. So, just by way of example, we saw some heavier sales in our retail channels, which commands some higher margins. So, without getting into too much detail, those mix benefits outweighed the business unit mix within the segment. So, we did see overall a favorable mix come out of that group itself. So, that did benefit us in the quarter and helped us with respect to seeing that 17.8%, I think, overall...
Jason D. Feldman - Director-Investor Relations: 17.9%
Richard A. Maue - Vice President, Finance and Chief Financial Officer: 17.9% overall margin – overall margin target. Structurally, as we look at it going forward, to the second part of your question, I think as I look at the integration having gone so well and as I think about the opportunities that we all believe remain within this larger organization in deploying the practices that we do across all of our businesses with respect to continuous improvement, we do see further opportunities. So, I guess, the cat's out of the bag a little bit with respect to where margins are in our forecast or guidance on 16.6%, and that we anticipate it being a little bit stronger here as we close out the year.
Nathan Jones - Stifel, Nicolaus & Co., Inc.: All right. Thanks very much.
Max H. Mitchell - President, Chief Executive Officer & Director: You're welcome.
Operator: Thank you. And our next question comes from the line of Matt McConnell with RBC Capital Markets. Your line is now open.
Richard A. Maue - Vice President, Finance and Chief Financial Officer: Good morning, Matt.
Matthew McConnell - RBC Capital Markets LLC: Thank you. Good morning, guys.
Max H. Mitchell - President, Chief Executive Officer & Director: Good morning.
Matthew McConnell - RBC Capital Markets LLC: Just first a very high-level question. So after about a $0.20 beat, you raised by $0.10, would you say there's more buffer here or are there specific kind of concerns for the back half?
Richard A. Maue - Vice President, Finance and Chief Financial Officer: No, Matt, I'll take that question. So internally, we didn't perceive – we don't see a $0.20 beat, as we look at our internal forecast and how we saw the guidance playing out for the balance of the year. So, understanding where consensus was, as we look at the business, I'll provide my commentary here. Our second quarter performance was notably stronger operationally, and we did perform modestly better than, I would say, we expected. Notwithstanding the $0.06 tax benefit in the quarter, which followed a $0.03 benefit that we saw in the first quarter, again, roughly a $0.10 benefit overall in the first half, right? And what I'd like to point out is, if you recall back in Q1, I indicated that margins in Fluid Handling would improve in the second quarter based on the business mix that we would see in that segment, and that, in fact, occurred. I'm not sure if everyone saw that or believed it, but that did, in fact, occur. And as I pointed out a little bit earlier, we did execute better than expected from a backlog perspective in Fluid Handling in the quarter. So, we did get a little bit more sales out than we expected. As I just mentioned with Nathan, performance at Payment was strong, Engineered Materials also modestly stronger than we expected, solid mix, benefiting Payment. And then we saw some strong performance execution-wise, productivity-wise in Engineered Materials, along with continued lower costs in the Engineered Materials business. So, we did have a relatively strong performance, a little bit better – I would say, better than we anticipated. Looking to the second half and trying to, I think, couch your question with respect to our revised guidance, the tax rate's going to be higher, so we have a natural – you consider, the tailwind in the first quarter and the headwind in the second quarter, that's meaningful. Q3 margins will abate a little bit. And I want to make sure I emphasize just a little bit in Fluid Handling, again, seasonality related. Our Valve Services business, coupled with some of that modest impact that that execution on the backlog caused and drove for us in terms of leverage rates. And then as you know, Matt, the fourth quarter, we do experience normal seasonality in our business, the Merchandising business, in particular, and of course, in our Engineered Materials business. So, a lot there to digest, but overall, very pleased with our results year-to-date. I think we executed really well and we are cautiously optimistic about the balance of the year. With that said, as Max pointed out, and it's important, our guidance is balanced and considers the ongoing risk and uncertainty that remains in the Fluid Handling end markets.
Matthew McConnell - RBC Capital Markets LLC: Okay. Great. Thank you. And just switching gears to the asbestos case in New York, have you – maybe it's hard to kind of gauge what the financial implications will be longer term. But what's your view on how that could impact Crane's asbestos liability, and might there be a change to the reserve as a result of that case?
Max H. Mitchell - President, Chief Executive Officer & Director: Matt, I'd like to start off with that question on asbestos, but we put out a press release on June 28th and I'd like to read that to kind of frame up. It's early in terms of understanding the full impact. We've made significant gains, but we made the following statement regarding the ruling handed down by the New York State Court of Appeals with respect to the Dummitt and Suttner asbestos cases, which upheld two State Court judgments against the company totaling approximately $6.7 million. And we said that we are disappointed by the Court's ruling, which is in conflict with those made by courts in other states as well as on the federal level, addressing duty-to-warn standards for equipment manufacturers who did not make asbestos products. In its decision, the Court adopted a new test that considers economic necessity in determining a manufacturer's duty to warn about the potential hazards of third-party products used in combination with its own product. This new test will now have to be interpreted and applied by the lower courts in New York. Crane Co. never manufactured asbestos-containing products, and it believes that all of its products were safe when used as intended. Consequently, Crane Co. will continue to vigorously defend itself against asbestos cases, consistent with its past practices. So, I think that's as much as that we really want to really comment on today, and I think it's too early to talk about how this continues to play out. Rich, I don't know...
Richard A. Maue - Vice President, Finance and Chief Financial Officer: Yeah. Matt, just to follow-on a little bit here. We've got a lot of great disclosure that we've put in the Form 8-K that you're all familiar with and what we've put in the Form 10-Qs. We've made meaningful progress over the years from a liability perspective. At the same time, though, from a context point of view, our total company cash flow has grown substantially in recent years, as you know. And just to give some highlights on that, in 2011, our free cash flow was in the $115 million range and that included net asbestos payments of roughly $50 million. In comparison, last year, our total free cash flow was $190 million and our net asbestos payments were down to $35 million. And this year, you know what our free cash flow target is here, between $195 million and $220 million, and our revised guidance here of net asbestos payment is in the $35 million to $40 million range. So while disappointed with the New York decision, which is specific to New York, I think our approach and progress here is clearly working. As it relates to your question on the reserve, this is something that we continually look at on a quarterly basis. This process, as you know, it takes into account a wide variety of factors, recent Court decisions being one of them. But our overall process is unchanged and we'll continue to monitor the impact of the cases here that in New York. And at this time, we don't expect today, obviously, as of this quarter, to update the reserve. So just some added color, Matt, to couch a little bit more on the question.
Matthew McConnell - RBC Capital Markets LLC: Okay. All right. Great. Thank you very much. That's helpful.
Max H. Mitchell - President, Chief Executive Officer & Director: Thanks, Matt
Operator: Thank you. And our next question comes from the line of Robert Barry with Susquehanna. Your line is now open.
Robert Barry - Susquehanna Financial Group LLLP: Hey, guys. Good morning.
Max H. Mitchell - President, Chief Executive Officer & Director: Hi, Rob.
Richard A. Maue - Vice President, Finance and Chief Financial Officer: Hi, Rob.
Robert Barry - Susquehanna Financial Group LLLP: Hey. So just I wanted to follow-up on your answer to Matt's question. It sounds like tax is tracking $0.10 better in the first half. I think the tax guide given at 4Q was reiterated at 1Q. So, versus your internal plan, are you saying that the raise to the outlook is really net-net just on tax?
Richard A. Maue - Vice President, Finance and Chief Financial Officer: I would say, it's a large component. There's a little bit of stronger performance in certain segments. And part of our guidance revision incorporates risk associated with end markets that we see in Fluid Handling, just general uncertainty there, uncertainty with respect to where foreign exchange rates go.
Robert Barry - Susquehanna Financial Group LLLP: Got you. Okay.
Richard A. Maue - Vice President, Finance and Chief Financial Officer: Corporate would be the other element, right? So, our corporate costs also being a bit higher for the balance of the year – or being higher in the first half of the year, and overall at a $54 million level was considered in that guidance.
Robert Barry - Susquehanna Financial Group LLLP: I see. So, that's offsetting a little bit better operational?
Richard A. Maue - Vice President, Finance and Chief Financial Officer: Yeah.
Robert Barry - Susquehanna Financial Group LLLP: Got you. Got you. And then, I wanted to clarify the comment about the margin in Fluid in the back half, and I'm not sure if I heard you correctly. But I thought you said it would track at the average of the first half, which I think would be about 11.7%, 11.8%, which would put you a little bit below the target. Is that right or is the back half (34:37)?
Richard A. Maue - Vice President, Finance and Chief Financial Officer: Yeah. I think the way to interpret it is we still feel like the 12% is what we would expect to achieve. We were just trying to provide overall a flavor for what we would expect in the second half, really not to expect 13.3% to continue in Q2 and Q3. Overall, we feel good about an overall 12% margin target for this segment.
Robert Barry - Susquehanna Financial Group LLLP: Right. Right. Fair enough. And then, a follow-up also on the question about pricing in the backlog being similar to what's hitting the P&L now; I think you said it was. But I know you also talk about gross margin. I mean, would that be the same answer for the gross margin in the backlog being similar to what's hitting the P&L now in Fluid?
Richard A. Maue - Vice President, Finance and Chief Financial Officer: Yes, definitely.
Robert Barry - Susquehanna Financial Group LLLP: Okay. And then, maybe just lastly, on Aero, also a clarification, so the target there for the year was 5%. Are you tracking ahead of that or is the back half going to be lower now that the Space Fence is done?
Richard A. Maue - Vice President, Finance and Chief Financial Officer: Yeah, I mean on a year-to-date basis, we're tracking at about – our core growth rate of about 9% – 9.8% overall. The biggest component to that increase over what our full-year rate would be is execution on the Space Fence program. So, that is actually moving in a good direction. As Max pointed out in his prepared remarks, we're executing well in that program. We're not yet prepared to say that that growth rate should be increased, and we'll see how things progress as we move through the balance of the year.
Robert Barry - Susquehanna Financial Group LLLP: Okay. So what's the risk there? I mean, right now to get to your 5%, you'd have to have a low-single-digit growth in the back half.
Richard A. Maue - Vice President, Finance and Chief Financial Officer: Correct.
Robert Barry - Susquehanna Financial Group LLLP: Comps get tougher, but maybe that's it.
Richard A. Maue - Vice President, Finance and Chief Financial Officer: We don't expect – we'd expect to finish a little bit north of that 5%.
Robert Barry - Susquehanna Financial Group LLLP: Got you. Okay. Thanks, guys.
Richard A. Maue - Vice President, Finance and Chief Financial Officer: Okay.
Max H. Mitchell - President, Chief Executive Officer & Director: Thanks, Rob.
Operator: Thank you. And our next question comes from the line of Jim Foung with Gabelli & Company. Your line is now open.
James Foung - Gabelli & Company: Hi. Good morning. Good quarter.
Max H. Mitchell - President, Chief Executive Officer & Director: Hey, Jim.
Richard A. Maue - Vice President, Finance and Chief Financial Officer: Good morning.
James Foung - Gabelli & Company: So just hitchhiking on the Aerospace business, could you just give me an idea in terms of the Space Fence revenues for the second half? Is it going to be – as that continues to wind down, is that going to be substantially lower than the first-half revenues?
Richard A. Maue - Vice President, Finance and Chief Financial Officer: I would say, we should see – we're going to largely complete the program as we move through the balance of the year.
James Foung - Gabelli & Company: Okay.
Richard A. Maue - Vice President, Finance and Chief Financial Officer: Yeah.
James Foung - Gabelli & Company: So kind of did you have it split up between like the first half, second half? Did you ship like 60% and you have 40% left kind of a ratio?
Richard A. Maue - Vice President, Finance and Chief Financial Officer: There's roughly 50% left.
James Foung - Gabelli & Company: 50% left. Okay. Good. Very good. Thanks. And then, on the Fluid Handling, what was the book-to-bill in the quarter, the orders to sales, because you said the back – you shipped a little bit out of backlog but the orders grew. Do you have book-to-bill number for that?
Richard A. Maue - Vice President, Finance and Chief Financial Officer: Yeah. I mean, we do track that. So again, we had a very strong shipment month in the month of June that skews us a little bit, just given we would tend to see those shipments spread a little bit more into the third quarter. But book-to-bill in the segment overall is just – I would call it, just under one.
James Foung - Gabelli & Company: Okay. Okay. And then you feel you're in the trough – this year will be the trough year. I know 2017 is a little early for you. But as you peek into 2017, do you expect growth in 2017 or you think it's just going to be at the same level as what you might do in fourth quarter of 2016 with Fluid Handling?
Max H. Mitchell - President, Chief Executive Officer & Director: Well, order rates are stable.
James Foung - Gabelli & Company: Right.
Max H. Mitchell - President, Chief Executive Officer & Director: Not seeing any significant increase. Couple of bright spots we mentioned, but it's nothing that we would say that we're predicting growth yet. Right now, it seems stable and we're saying it's the trough. As we continue to look at longer-term indicators, one of the things that we track pretty well of the projects and as I think we've mentioned this in the past, we have a stage system, stage one through four in terms of when we first identify a project. And one of the things that we saw occur in this quarter was a rather dramatic increase in the stage one projects in the funnel, and that's in a 16-month-plus kind of timeframe.
James Foung - Gabelli & Company: Okay.
Max H. Mitchell - President, Chief Executive Officer & Director: Just as we continue – again anything can happen in terms of the uncertainty in the marketplace, so with any other dislocation. But taking all that aside, based on what we see today, based on what we're seeing in terms of stability in order rates, the consistency, when I look out at our project-based funnel and I see some significant increase – again, this all has projects that continue to push to the right, so forth, but we're seeing a meaningful increase in terms of the stage one funnel. Is it going to read through in 2017, to what level? That's still an open question. As we continue to move through the year, we'll have more clarity on it, as we get closer. So, I hope that gives a little bit of color. I can't say with certainty that 2017 is going to be a growth year or what kind of growth. But certainly feels like we're at that trough.
James Foung - Gabelli & Company: Right. No, it's great color. It's just – it's a lot to get excited about as these – as the stage one projects play out to completion.
Max H. Mitchell - President, Chief Executive Officer & Director: Well, as we've said, the work we've done to position ourselves to when the recovery does occur, I mean we're well-positioned to leverage that from a cost point of view, yeah.
James Foung - Gabelli & Company: That's great. And then, just one last question, just on the UK exposure, what's your sales for the UK? I know you said you're more worried about Europe spilling over to European community. But could you just give us an idea what your sales are to the UK? How big is it?
Richard A. Maue - Vice President, Finance and Chief Financial Officer: Overall sales – I think what your question is more of a how much sales are we shipping out of the UK. And off the top of my head, I don't have that figure. I would tell you, though, as we think about the foreign exchange exposures that we would be concerned about or anybody would be concerned about is what your net exposure after expense is. So when we think about our UK businesses, we have a large component of manufacturing and cost that exists in our UK businesses, and that's relative to sales. So, we sell a significant amount from the UK in different currencies. So when I look at that, with a high cost base of British-pound-denominated expenses, when my rate goes down, I get a bit of a benefit there and I have less of an exposure, given I have a lot of export sales. So, I don't have the figures off the top of my head, Jimmy, but I would say that, overall, I'm not overly concerned with the foreign exchange movements that have happened from a transactional basis.
James Foung - Gabelli & Company: Okay. Great. Thanks so much, guys. Good quarter.
Richard A. Maue - Vice President, Finance and Chief Financial Officer: You're welcome.
Max H. Mitchell - President, Chief Executive Officer & Director: Thanks, Jim.
Operator: Thank you. And our next question comes from the line of Ken Herbert with Canaccord Genuity. Your line is now open.
Unknown Speaker: Hey, Max, Rich, Jason. Good morning. This is actually John (42:20) on for Ken.
Max H. Mitchell - President, Chief Executive Officer & Director: Hi, John (42:21). Hi. How are you?
Unknown Speaker: Good. Quick housekeeping item. So for commercial aftermarket within Aerospace, what was the growth in the quarter?
Richard A. Maue - Vice President, Finance and Chief Financial Officer: It was mid-single digit.
Unknown Speaker: Got it. Okay. And then, just two quick questions staying within Aerospace, how is the COMAC 919 ramping? I know you mentioned it briefly. Any meaningful contribution in the quarter?
Richard A. Maue - Vice President, Finance and Chief Financial Officer: I'm sorry. Meaningful contribution in the quarter relative to what? I apologize.
Unknown Speaker: No, no. Just as far as shipments goes for the COMAC 919, just how is that ramping?
Richard A. Maue - Vice President, Finance and Chief Financial Officer: Yeah. So, nothing yet. I mean, the C919 is still in development. We would expect that to be in development for some time here yet. We're spending quite a bit of time from an execution point of view on engineering and development.
Unknown Speaker: Got it. And then, as far as defense goes, besides Space Fence, any short cycle – any uptick in short-cycle defense?
Richard A. Maue - Vice President, Finance and Chief Financial Officer: No, I wouldn't say anything meaningful. Nothing meaningful. It tends to be program specific, and what programs we're on, and what technologies we have to offer. I wouldn't say there's any meaningful impact at this point with respect to defense.
Unknown Speaker: All right. That's all I have. Thank you, guys.
Max H. Mitchell - President, Chief Executive Officer & Director: John (43:42), you're welcome.
Operator: Thank you. And our next question comes from the line of Brett Linzey with Vertical Research Partners. Your line is now open.
Brett Logan Linzey - Vertical Research Partners LLC: Hi. Good morning, guys.
Max H. Mitchell - President, Chief Executive Officer & Director: Good morning.
Brett Logan Linzey - Vertical Research Partners LLC: Hey. Just wanted to come back on Fluid Handling, obviously, very strong margins given the top-line pressures there. Could you just put a finer point on the scale of magnitude between the mix contributions, productivity, repositioning on margins in the quarter?
Richard A. Maue - Vice President, Finance and Chief Financial Officer: Yeah. Geez, I would say that there's no one that was meaningfully greater than another. I mean we did execute on repositioning activities that clearly have trickled through, through the quarter. Productivity continues. There's not one item. It's not like the 13.3% was flattered really by any one particular item. Mix, I would say, if I was to point to the number-one item, it would be the mix of businesses in the quarter for the segment. So, where we have greater sales of Valve Services, for example, greater sales of our Pumps business, our Building Services & Utilities business, as I mentioned on the first quarter call, those would be the ones that helped flatter the results a little bit here in the second quarter. But again, it's on the margin, but that would be the number-one component.
Brett Logan Linzey - Vertical Research Partners LLC: Okay. No that helps. And then, I guess, if 2016 is the trough and we do begin to see recovery, as we think about 2017 and sort of this inflection in growth potential, I mean how should we think about the incremental margins, when you consider mix, you consider some of the variable cost structure that might have to come back? Just as we calibrate next year for any type of inflection, I mean, how does that look on the way up?
Richard A. Maue - Vice President, Finance and Chief Financial Officer: Yeah. So our typical leverage rate in that business tends to be in the 25% range. Might be just a little bit north of that, considering the cost actions that we took over the last couple of years. But again, we're at a point here where our order rates have stabilized and we feel good about the trend in orders. We feel like we're at that bottom. It's when does that inflection point happen such that I can see growth in sales period over period to see that leverage, which we're not comfortable with talking about just yet on 2017.
Brett Logan Linzey - Vertical Research Partners LLC: Yeah. Okay. And then, switching gears just to Payments & Merchandising, so MEI-related synergies on track for the full year. Can you quantify what you realized in the quarter for benefits? And how that layers through the balance of year as we look at some of those projects that are underway?
Richard A. Maue - Vice President, Finance and Chief Financial Officer: Yeah, it was even. It's not like the quarter necessarily benefited for any uptake in synergy savings in the quarter. So, it would be an even distribution of what we've seen from the first half of the – first quarter of this year.
Brett Logan Linzey - Vertical Research Partners LLC: Okay. And if I could just sneak one more on pension. You've seen rates kind of tick down about 75 bps. As we think about – I mean, obviously, it's early. But as we think about – kind of if we were to snap the line and look at 2017, I mean do we see a pension expense headwind? And then any potential contributions that will need to be made to pension, whether it's voluntary or mandatory, and as we look at some of those funding levels?
Richard A. Maue - Vice President, Finance and Chief Financial Officer: Yeah. To answer the question on expense and on funding levels, we wouldn't anticipate, based on what rates are doing – based on what the discount rates are doing, there isn't much of a meaningful impact to expense. But from a payment point of view, the discount rates and the tools that are used to calculate those payment rates are a little bit different than the simple 25 basis points or 75 basis point math. So, we don't expect at this point anything north of, say, a $5 million or $6 million incremental headwind next year from a payment point of view. So, this is all notwithstanding any other changes that might be made with respect to asset returns and things of that nature. But I think the way to think about it for Crane is, for that kind of a change in basis points, the bigger impact is what's your unfunded liability position at the end of the year.
Brett Logan Linzey - Vertical Research Partners LLC: Okay. Great. I appreciate all the color.
Max H. Mitchell - President, Chief Executive Officer & Director: Thank you, Brett.
Brett Logan Linzey - Vertical Research Partners LLC: Thanks.
Operator: Thank you. And our next question comes from the line of Ryan Cassil with Seaport Global Securities. Your line is now open.
Ryan Cassil - Seaport Global Securities LLC: Hi. Thanks, guys. Most of my questions have been answered here. But I guess, going back to your comment on Fluid Handling, you're saying some competitors are getting more aggressive on pricing. My question is, is that really more the proliferation of these lower-costs Eastern competitors being more prevalent in the bid process, or are you actually seeing sort of more the traditional Western manufacturers that are getting more competitive on pricing?
Max H. Mitchell - President, Chief Executive Officer & Director: Mix, traditional.
Ryan Cassil - Seaport Global Securities LLC: Okay. Great. And then, just moving on to the Engineered Materials side, you mentioned lower material costs and probably resin costs being the big driver there. How quickly can that flip and have you seen that already in the third quarter? Is that really more in the fourth quarter you expect margins to moderate?
Richard A. Maue - Vice President, Finance and Chief Financial Officer: Yeah. I mean, at this point, as we look at it and the LTAs that we have in place, from a cost point of view, we feel pretty good. What I would like to point out, though, in terms of benefit that we saw in the quarter, between raw material costs and general productivity improvements in the plants, it's roughly about a 50/50 split. Okay. So to give credit to the team, they did an outstanding job in the second quarter following some good work in the first quarter. So the overall margin profile being improved the way it has is not all resin costs. In terms of how we see it flipping, part of what we need to do here is execute on a price strategy that considers these raw material costs and how long that they'll sustain. But we do expect the margins to moderate largely because of that, that rebalancing of pricing in relation to the costs that we're seeing on the input side.
Ryan Cassil - Seaport Global Securities LLC: Okay. Thanks for the color. Appreciate it.
Max H. Mitchell - President, Chief Executive Officer & Director: Thanks, Ryan.
Operator: Thank you. And our next question is a follow-up from the line of Nathan Jones of Stifel. Your line is now open.
Nathan Jones - Stifel, Nicolaus & Co., Inc.: Hi, guys.
Max H. Mitchell - President, Chief Executive Officer & Director: Hey, Nathan.
Nathan Jones - Stifel, Nicolaus & Co., Inc.: I would actually like to follow-up a little bit on the Engineered Materials business there. If you're talking half the improvement is productivity, half the improvement is price, then productivity is not going to go away. Have you improved that business structurally so that you think that long-term margin range that you've laid out has maybe structurally improved for that business?
Richard A. Maue - Vice President, Finance and Chief Financial Officer: Yeah, I think in some respect it has. I mean the margin – the long-term margin target is 12% to 16%. Right? And we do think we're going to abate from the 20%. But being towards the higher end of that range, I think, is something that provided that we're at – reminder, we're at the top of the cycle for RV, right? So, structurally, as we look at opportunities, like first pass yield and where we really see a lot of the progress being made from a productivity perspective, if volumes move in the wrong direction given the cycle, we'd see that – we'd see margins come back because of that as well. But there are structural improvements. Is the bottom no longer 12%? Maybe it's 13% or 14%. We'll be looking at that over the course of the next six months or so.
Nathan Jones - Stifel, Nicolaus & Co., Inc.: So, maybe the top's not 16%, it's 17% or 18%?
Max H. Mitchell - President, Chief Executive Officer & Director: Possible.
Richard A. Maue - Vice President, Finance and Chief Financial Officer: It's possible, yeah.
Nathan Jones - Stifel, Nicolaus & Co., Inc.: And then, one other one, there was a comment you made about chemical OE in the U.S. You were talking about seeing improved activity there, at least in the front-load RFQ (52:03) space, and then you said 2018, 2019 for those projects. I assume that's 2018, 2019 for revenue recognition, but orders would hit your book earlier than that?
Max H. Mitchell - President, Chief Executive Officer & Director: Yeah. It's hard to say with certainty, but generally I think that's a fair comment, Nathan.
Nathan Jones - Stifel, Nicolaus & Co., Inc.: Okay. Thanks very much.
Max H. Mitchell - President, Chief Executive Officer & Director: Thank you.
Richard A. Maue - Vice President, Finance and Chief Financial Officer: Thanks, Nathan.
Operator: Thank you. And I'm showing no further questions at this time. I'd like to turn the conference back over to Mr. Max Mitchell for any final remarks.
Max H. Mitchell - President, Chief Executive Officer & Director: Thank you, operator. We delivered a strong quarter despite challenging end markets and we are guarded, but confident about the remainder of this year. While global macro uncertainty persists, we take to heart the words of the late great Muhammad Ali to float like a butterfly and sting like a bee. And accordingly, we will remain nimble and quick, keeping our gloves up, staying off the ropes. While upcoming rounds have uncertainty, we feel great about the strength of our portfolio. We continue to invest for growth and are poised to go the distance as markets recover. Thank you all for your interest in Crane, and have a great day.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program. You may all disconnect. Everyone, have a great day.